Operator: Good day, and thank you for standing by. Welcome to the Q2 2025 Comfort Systems USA Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Julie Shaeff, Chief Account Officer.
Julie S. Shaeff: Thanks, Latonia. Good morning. Welcome to Comfort Systems USA's Second Quarter 2025 Earnings Call. Our comments today, as well as our press releases, contain forward-looking statements within the meaning of the applicable securities laws and regulations. What we will say today is based upon the current plans and expectations of Comfort Systems USA. Those plans and expectations include risks and uncertainties that might cause actual future activities, and results of our operations, to be materially different from those set forth in our comments. You can read a detailed listing and commentary concerning our specific risk factors in our most recent Form 10-K and Form 10-Q, as well as in our press release covering these earnings. A slide presentation is provided as a companion to our remarks, and is posted on the Investor Relations section of the company's website found at comfortsystemsusa.com. Joining me on the call today are Brian Lane, President and Chief Executive Officer; Trent McKenna, Chief Operating Officer; and Bill George, Chief Financial Officer. Brian will open our remarks.
Brian E. Lane: Okay. Thanks, Julie. Good morning, and thank you for joining us on the call today. We had a fantastic quarter with amazing execution by our teams. This is the first time that our quarterly revenue has exceeded $2 billion. We earned an unprecedented $6.53 per share this quarter, which is an increase of 75% compared to a year ago. Our Mechanical business had a sharp increase in profitability, and our Electrical segment was higher as well. Service revenue and profits also increased by double-digit percentages. Our bookings were strong and our backlog at the end of the quarter grew to a new high of $8.1 billion. Demand remains strong especially in technology, and we continue to book work with good margins and good working conditions for our valuable people. We are going into the second half of 2025 with significant same-store growth in both sequential and year-over-year backlog. I'm happy to announce the acquisition and welcome Right Way Plumbing, a great plumbing business based in Florida, that we expect will earn $60 million to $70 million per year in revenue. We also increased our quarterly dividend by $0.05, to $0.50 per share, and we actively purchased shares during the first half of 2025. Despite a backdrop of tariff ambiguity and economic uncertainty, we feel fortunate to have good demand, especially for large and complex projects. Thanks to our amazing people. We expect continuing strong results in 2025 and continuing success into 2026. Trent will discuss our operations and outlook in a few minutes, and I will make a few closing comments after our Q&A. But first, I will turn the call over to Bill to review our financial performance. Bill?
William George: Thanks, Brian. So yes, our second quarter results are remarkable, with 19% same-store revenue growth, sharply higher margins, and over $220 million of free cash flow. We also achieved more than $300 million in quarterly EBITDA for the first time ever, and that's a 50% increase over the same quarter 1 year ago. Revenue for the second quarter of 2025 was $2.2 billion, an increase of $363 million, or 20% compared to last year. Electric segment revenue grew by 49%, while Mechanical segment revenue increased by 13%. Through 6 months, same-store revenue has grown by 17%, and currently, our best estimate is that for full year 2025, our same-store revenue increase will remain in that mid-teen range. Gross profit was $510 million for the second quarter of 2025, $146 million higher than 1 year ago. Our gross profit percentage grew to a remarkable 23.5% this quarter, compared to 20.1% for the second quarter of 2024. Quarterly gross profit percentage in our Mechanical segment jumped to 22.9% this year, compared to 19.2% last year. Margins in our Electrical segment also increased significantly to 25.3%, as compared to 23.6% in the second quarter of 2024. We currently expect that gross profit margins will continue in the strong ranges that we have averaged over recent quarters. SG&A expense for the quarter was $210 million, or 9.7% of revenue, compared to $180 million, or 9.9% of revenue in the second quarter of 2024. SG&A increased mainly from ongoing investments in people to support our higher activity levels. Our operating income increased by just over 60% from last year, from $185 million in the second quarter of 2024 to $300 million for the second quarter of 2025. With improved gross profit margins, our operating income percentage surged to 13.8% this quarter, from 10.2% in the prior year. Our year-to-date tax rate was 20.7%. Our effective tax rate in the first quarter was lower due to interest we received on a delayed refund by the IRS, that was associated with our 2022 federal tax return. We received that $118 million refund in April 2025 which included $11 million of interest. Excluding this item, our effective tax rate would have been approximately 23% year-to-date, and we expect our tax rate for the second half of 2025 to continue to be in that 23% range, with our full year effective rate a bit lower due to the discrete benefit recorded in the first quarter. In July 2025, the federal government enacted major tax reform legislation. However, we currently do not expect that the new and amended provisions will have any significant impact on our operating results or cash flows. After considering all these factors, net income for the second quarter of 2025 was $231 million, or $6.53 per share, and that compares to net income for the second quarter of 2024 of $134 million, or $3.74 per share, and this is an over 70% improvement from last year's already very strong showing. EBITDA increased to $334 million this quarter, from a strong $223 million in the second quarter of 2024. This 50% increase reflects great execution by our workforce and strong demand in our markets. As of June 30, our 12-month trailing EBITDA exceeds $1 billion for the first time ever. Free cash flow for the second quarter of 2025 was $222 million. This quarter's cash flow includes two discrete cash flow items that largely offset each other. As previously discussed, we received a $118 million tax refund in April 2025 that was related to our 2022 federal tax return. In addition, the remaining impact of our long-awaited cash flow turnaround of the advanced customer payments from our modular operations completed this quarter. As expected, the advanced payment position that we enjoyed for several quarters has now roughly normalized, and we expect that starting now, and over time, our cash flow should once again approximate our after-tax earnings, subject to the quarter-to-quarter and seasonal variances that are typical in our industry. We purchased additional shares this quarter, and year-to-date, we have spent $111 million buying approximately 326,000 shares. Even after funding share repurchases and our Right Way acquisition, we are in a net cash position of more than $250 million. And considering our strong cash prospects, we remain in a great position to reward our shareholders and fund additional growth. And that's all I've got on financial information. So Trent?
Trent T. McKenna: Thanks, Bill. I'm going to discuss our [ operations to-date ] outlook. Our backlog at the end of the second quarter was a record $8.1 billion, a large sequential and year-over-year increase. Since last year, our backlog has increased by $2.4 billion, or 41%, and $2.2 billion of the increase was same-store. On a sequential basis, backlog increased by $1.2 billion, or 18%, of which $1.1 billion was same-store. Second quarter bookings were especially strong in the technology sector, both in our traditional construction business, as well as the modular part of our business. We are entering the second half of 2025 with same-store backlog 37% higher than at this time last year, and our project pipelines remain at historically high levels. Industrial customers accounted for 63% of total revenue in the first half of 2025, and they are major drivers of pipeline and backlog. Technology, which is included in industrial, was 40% of our revenue, a substantial increase from 31% in the prior year. Manufacturing revenues were strong but declined modestly as our businesses chose to book a higher proportion of technology-related projects, particularly data center construction. Institutional markets which include education, health care and government remain strong and represent 24% of our revenue. The commercial sector which is a smaller part of our business provided about 13% of revenue. Most of our service revenue is for commercial customers. Construction accounted for 85% of our revenue with projects for new buildings representing 58%, and existing building construction, 27%. We include modular and new building construction and year-to-date, modular was 18% of our revenue. We currently have over 2.7 million square feet of building capacity dedicated to our modular business, and we expect to have around 3 million square feet by early next year. Service revenue was up 10%, and is 15% of total revenue. Service profitability was strong this quarter, and service continues to be a growing and reliable source of profit and cash flow. As mentioned before, we are entering the second half of 2025 with a backlog that is 37% higher on a same-store basis than we had at this time last year, and we have superb teams working hard for our customers every single day. Thanks to the dedication and hard work of our employees across the country, we are optimistic about our future. I want to close by joining Brian and Bill in thanking our over 20,000 employees for their hard work and dedication. I will now turn it back over to Latonia for questions.
Operator: [Operator Instructions] And our first question will be coming from Sangita Jain of KeyBanc Capital Markets.
Sangita Jain: So appreciate the update on the modular square footage. Can you tell us how you're thinking about the extent of expansion in your modular capabilities, and your thoughts on possibly adding, a third location?
William George: Sangita, I would say that we like what we've been doing, which is adding incremental capacity as -- in a way that's measured and really spending even a bigger focus, or at least as much focus, on improving productivity and automation in our existing spaces. So I think the kind of growth you've seen as long as the market supports it and as long as the amazing people who run these two businesses for us are convinced, they have the bandwidth to implement it, as long as that things hold true, we'll probably continue the same kind of incremental build out. It feels as if that demand is there, to say the least, actually. And so I don't know. I hope that answers your question. As far as the third location, that's something we think about on a long-term basis. We have 2 pretty great locations, right? We're right in the middle of the Mid-Atlantic. Houston, is pretty well located especially for the markets that these things need to go to. And even considering the states you have to drive through, because that's a consideration, because different states have different load requirements. So I'm not sure that's a high priority for us right now but we're very open-minded to it.
Sangita Jain: Got it. And if I can follow up, I know you said that the reconciliation bill does not -- maybe does not necessarily directly apply to what you do. But the bonus depreciation does help many of your customers as probably the Trump executive order on AI. Can you talk a little bit about if you've had any initial conversations with your customers around that?
William George: The bonus depreciation helps them and us some. I would say that I would not view that as an important driver for us at a time when we're already experiencing demand that far out outstrips what we could possibly do. But anything that makes people a little hungrier is good, right? But I wouldn't consider that an important consideration.
Operator: Our next question will be coming from Akash Singh. Again, our next question will be coming from Akash Singh. Moving forward, our next question will be coming from Julio Romero of Sidoti & Company.
Alex Hantman: This is Alex on for Julio. Congrats on the quarter. My first question, maybe we could start with just some color on growth for the remainder of '25. I know backlog and revenues have grown meaningfully even over the historical comps that you've mentioned that are a little tougher. So how is your confidence as this sort of continues positively into '25 and '26? And maybe some of the conversations that have led to that?
Trent T. McKenna: Alex, you know how our backlog is always very lumpy, right? So we don't spend a lot of time thinking about that and when jobs land kind of on a time scale. What we're really looking at is kind of our future pipelines. And what we see right now is very robust pipelines, may continue to be robust even with all the bookings we had in the second quarter. So yes, things are still very bullish with regard to future work.
Brian E. Lane: Alex, this is Brian. I'm just going to jump in. Also service, right is, Bill and Trent mentioned, we're getting good growth in service. It's about a $1.2 billion business for us now, growing above 10% this last quarter. So that's been nice consistent growth, both from a revenue and profitability standpoint and on to the construction growth.
Alex Hantman: Very helpful color. I think kind of rising above consistent growth, you had very nice earnings performance and I think you wrote about anticipating solid earnings for the remainder of '25 and into '26. So could we get a little color there? Is solid sort of a statement of continuing where we are now? Or is that a little bit more from historicals? Just a little color would be helpful.
William George: Well, we have a lot of work to do. We think our guys are the best in the world at doing it. Our customers want it, they're willing to pay for it. So I think we just feel pretty great about at least the foreseeable demand and our ability to profitably meet it. We don't really have additional guidance on margins and stuff. These margins are pretty eye-popping. And we're still digesting them. But we feel pretty darn bullish about our prospects going forward.
Brian E. Lane: Yes. Alex, if you look at these -- our gross margin is 23.5%, which is strong. So we're getting a good combination of pricing, which is out there as well as the execution has been just terrific. So I think we're pretty optimistic about our results over the end of this year, into next year for sure.
Operator: And our next question will be coming from Brent Thielman of D.A. Davidson & Company.
Brent Edward Thielman: Great quarter, guys. I guess the first question, just, Trent you commented on the manufacturing kind of customer side and that you ultimately were focusing maybe a bit more on the data center tech customers, or you may get the best opportunity out of it. I guess the question is, has that market or pipeline of opportunities on that side subsided? Or it's just simply your workers are fungible and you're going to best opportunities?
Trent T. McKenna: No, it hasn't subsided, it's still strong. So what really is happening is the best opportunities right now are presenting themselves more often than not on the technology side and so companies are choosing to put their skilled workforce in the best possible circumstances to be successful and that's what the technology customers right now.
Brian E. Lane: Brent, just to follow on. I mean our operating companies, I think, are doing a superb job with project selection. Stuff that we're really good at doing in places where we're strong. So you got to really tip your hat to them about the work they're bringing in here and how they're doing it.
Brent Edward Thielman: And then on modular, I heard you say 18% of revenue year-to-date. Could you possibly comment maybe on the proportion modular represents in backlog today? And then also just from a customer standpoint, is there an opportunity to add another hyperscaler to what you already have, just with the incremental capacity you're adding? Or is that capacity add really to serve the customers -- existing customers you have today?
William George: To your second question, the opportunity is there. There are people who would buy our product. The people -- our two main customers really are our best option to sell to right now. Across our businesses right now, there's a general tendency of our guys, of our leaders, of our -- the people who interact with our customers to choose to do business with. The customers who realize that we're trying to do something together, as opposed to trying to do something that is a fight. So we're really, really choosing who we give our unbelievable and scarce resources to by the people who really want to go out there, build a good project, build it right, build it quick, work together, understand that everybody has to be paid for the risk they take. And so I think ultimately, that's the experience we're having with those customers, and that's really, really valuable to us.
Brent Edward Thielman: Okay. And sorry, just the question around modular proportion of backlog. Is that something you could comment on? Or how we might think about what's in the book of business?
William George: So my guess was -- modular is going to continue to grow, right? We're investing in new space. We're improving our productivity. There's a range of how fast it could grow. If you made me pick an over/under, I'd say now that we think that the business overall is going to grow mid-teens. I think modular should stay near that percentage. Now having said that, I fully recognize it's grown from 4 to 6 to 8 to 10 to 12, you know what I mean. But we have such good demand and opportunity in all of our businesses, but it's a pretty -- everybody is great at getting bigger and better. It's a pretty tough [indiscernible] to get -- become a bigger percentage of our company right now.
Brent Edward Thielman: Okay. If I could sneak one more in, just maybe another approach to kind of the visibility question. Could you talk about the funnel or pipeline, and what that looks like today? As you look into '26, and possibly into '27 -- I mean I'm sure you're having conversations about next year at this point. But is the dialogue with customers becoming much more active about opportunities into 2027 at this point?
Brian E. Lane: Yes, Brent. Absolutely. I mean, '25 is -- were full, right? You're looking at a '26, '27 for sure, looking at opportunities. Longer out, as you know, we got bigger projects that run longer, take longer to get them done in the front end, to get them signed, sealed and delivered. But customers are looking out '26, '27. It's a great time to be in the construction business buddy.
Operator: Our next question will be coming from Adam Thalhimer of Thompson Davis.
Adam Robert Thalhimer: Congrats on the record quarter. Basically, I wanted to pick up with where Brent left off and rephrase the question. Within the current backlog, how much of that work would be scheduled for 2027 plus?
William George: A lot. I don't think we have a precise number. Yes, a lot.
Brian E. Lane: Yes, the statement we made, Adam, about what we're feeling good going out is because we're seeing both in backlog and what we're looking at is healthy.
William George: If you do a little math, you have to realize that if we're telling you we're going to grow mid-teens, the backlog's pushing further out or maybe higher percentage than that.
Adam Robert Thalhimer: Understood. The growth that you've seen at Walker Electrical, how much of that is occurring in their traditional North Texas market versus work in other areas of Texas or even outside of Texas?
Brian E. Lane: So right now, all the work is in Texas, and it's in the 4, what I call major markets. Dallas, Houston, Austin and San Antonio. So although they are very strong in North Texas, Dallas, et cetera. The other 3 markets are strong. It's probably one of the -- probably if you talk to them in a few times since they've been in business that all 4 of their major markets have been strong, Adam.
William George: And I want to -- Walker is killing it. It's amazing what they're doing. But all of our other electricals are just killing it as well. So it's important to understand. One of the nice things for us is that because we bought all of our electricals in the last 5 years or so, 5 or 6 years, we bought them at a time when we already had developed a big conviction around buying companies that had exposure to the super cycle, had exposure to certain states, certain complex capabilities. So if you look across Comfort Systems USA, our electricals just have a higher proportion of the companies that are tuned towards the good things that are happening right now, and they are doing an amazing job taking advantage of it as are our mechanical companies, obviously, and our service, everybody except corporate is doing great.
Brian E. Lane: But we do want to be on this call to help out.
Adam Robert Thalhimer: Lastly, anything more you can say high level on pricing. Just as your technology customers are taking up more and more of your capacity, to what extent are they paying up for that?
Brian E. Lane: Well, if you look at our gross margins, our pricing is obviously very good, right? You can read them in income statement, but pricing is good, and we're getting paid for the risk and services that we're delivering.
Trent T. McKenna: And then Adam, our project teams are really delivering efficiency effectively. And we've -- we've really pushed a lot of innovations out that are helping them manage projects even more efficiently than they had previously. So that's also driving that margin. To some extent, our technology customers are very good partners with regard to those endeavors when it comes to innovation.
Adam Robert Thalhimer: It's been a long time since we've cried about a bad job. So great work.
Brian E. Lane: Yes, I'm knocking on wood onon that Adam.
Operator: And our next question will be coming from Josh Chan of UBS.
Joshua K. Chan: Congrats on a really good quarter. I guess it's clear that your demand environment is really strong. So could you just talk about kind of the -- your workforce, their willingness to continue to work more, make more, but kind of keep working hard, and then what you're seeing on the recruiting front?
Trent T. McKenna: It's a great question, Josh, because that's what really is the secret to Comfort Systems' long-term success is making sure that it continues to be the best place for a craft professional to work. And I think our companies do a really great job of being the employer of choice in their markets. And then what we've -- and we've talked about this previously, but what we've done with our staffing company that's internal to the organization has really helped us be able to flex up and down and take care of our core workforce as we move through -- especially these larger projects. Additionally, we get a lot of collaboration on jobs, so we have more than one of our operating companies on projects, and they're able to share labor in ways that has also been able to help us. But yes, it's certainly an all-of-the-above approach when it comes to talent right now because everybody is constrained as far as being able to recruit and find. But I think we're getting our fair share, if not more, of the talented craft professionals in America right now.
Joshua K. Chan: That makes sense. Thank you Trent. And then I guess like in terms of project selection, how do you think about the approach to choose projects between the different verticals? Because obviously, your technology is chosen more and more frequently. So are you okay with that? How are you talking to your operations about choosing types of projects that you want exposure to?
Brian E. Lane: Yes. That's a good question. I think they're doing a great job selecting what's available in the markets were still pretty diverse, as you can tell by the pie chart of the different industries we serve. So we've kept good balance. Obviously, tech is red hot right now. So we're trying to service those customers the best we can. But we are keeping our fingers in all the pies, everything but commercial, right, office buildings is slow. Everything else has got good activity. And I think they are selecting, I think, as Bill said in the script, we have the best working conditions for our people, and are paid for the risk and the service that we provide.
William George: I mean one of the best operators in the world who works for us, made the point recently that we don't decide what needs to be built. We just make sure we're the best people to build it. So this guy also said, I'll take any job you have as long as it rhymes with data center. The second part was kidding, first part he was definitely...
Brian E. Lane: That's right absolutely .
William George: We have to just do the work that's there for us and be the best people to do it.
Brian E. Lane: And that's why, Josh, if you think about the bigger picture, training is crucial in here at all levels of this organization, in the field up through project management leadership. Make sure our folks throughout the organization well prepared to address the market.
Operator: Our next question will be coming from Brian Brophy of Stifel.
Brian Daniel Brophy: Congrats on the nice quarter. Appreciate the update on the modular capacity expansion plans. Can you provide an update on what you're seeing on modular from a competitive standpoint? Are you seeing any new entrants in the space? Curious, your latest thoughts on how you're feeling about your leadership position there? And I guess to what extent are any changes in the competitive environment driving, I guess, some of this leaning into more capacity?
William George: So I will say our customers continue to encourage people to develop competitive capacity for us. They've had some of the best companies in the world, work on that with mixed results. We don't think that we're what we do is -- can't be done by someone else. We just -- our goal is to just be so good at it that you'd be crazy to buy it from somebody else. So I hope that answers your question.
Brian Daniel Brophy: Okay. And then -- that's helpful. And then I guess, anything to call out on the health care end market? It looks like that was really the only other end market that grew meaningfully outside the tech this quarter?
Brian E. Lane: Yes. I mean we're seeing -- I think we mentioned in the last few quarters, Brian, that we're seeing some new build hospitals get built. Heavy in the south for sure, Florida. So we are seeing a number of opportunities, both on expansion of hospitals, new build and also surgical centers, the smaller outpatient type facilities you see. So we are seeing some strength in health care, been pretty consistent for a little over a year now.
Operator: And our next question will be coming from Sam Snyder of Northcoast Research.
Samuel Robert Snyder: Great job, obviously. I just had a question on modular like everybody else. It seems like I was wondering what has sort of changed -- or what could change going forward that has made modular, respectively, a bigger part of the business? And then is there anything that you see down the road that maybe that changes, 10% is good. It kind of surprised it's not more but just curious your thoughts there, why 10%? And is there anything you see down the line where that might change?
William George: One thing people misunderstand about modular, it's very easy to think about it as a separate product line. And it is a different way of doing something. So anything that we do modularly, and we've done not just tech, we did pharma. Pharma was our main product -- our main customer for modular for many years, is something that is also being done that day in 1,000 locations in a stick-built way. So modular is a way of delivering a product that -- a building that is being built in the traditional ways as well. It has certain really unique advantages relating to speed and flexibility. And we think that there -- as the years pass, if you look forward in time, modular will become a more and more important modality for delivering especially complex projects in the United States. But as far as what percentage it takes, I just think it's -- for now, at least for tech, where we're being pretty much bought out, it is a vector that allows them to do even more than they could have done if they ignored this opportunity. But I don't -- so I think people -- there may be a day when people are trying to decide, well, which way of doing this is going to win? I think that will not be in my lifetime. I think it's a really great modality for accomplishing things. There are projects that have certain characteristics for which it's really has almost irresistible advantages. But I do think people -- it's really important that people understand it's a way of doing something, a different thing that's being done. A building is a building is a building is a building.
Samuel Robert Snyder: That's really helpful. And then I had a -- kind of switching gears. Looking at price cost, do you see your suppliers trying to pass on costs that really aren't there? And they're probably not getting that by you as a larger contractor but just kind of curious on -- are you able to get some concessions from customers based on that sort of the tariff scaries right now? Or is -- or is it really just passing through? And to the extent that it does or it doesn't, it just passes through equally?
William George: What kind of people do you think we are.
Samuel Robert Snyder: Business people.
William George: This is the real world. People want to be compensated for what they do. They use talking points to justify getting the best price that they can. I believe there are, for sure, people who are using these conversations to justify price increases. And I also believe there is a lot of people absorbing stuff. So I just think it's just like when things happened -- during COVID, people would say, are you seeing delays from COVID. And it was -- that's a hard question to answer because we always see delays. I don't think I've ever seen a building built -- well, I virtually have never seen a building built that was finished on the goal day to finish it from -- in the first conversation. So we always see delays. We always see price negotiations and bouncing around. And the people there -- all of the -- it's a complex situation with lots of factors. So I guess the answer is yes and no.
Samuel Robert Snyder: That's okay. I think it's just the gross margins are so good. Just looking for any reason why that might not continue...
William George: There's no -- we're not -- we don't have some clever trick right now that's kind of sneaking some money out the side. It's just that our guys are really, they're valuable, they're hard working. They can provide you with something that's hard to get your hands on, and great customers are willing to pay for it.
Brian E. Lane: And Sam, if we had a clever trick, we wouldn't tell you.
Operator: And our next question will be a follow-up from Brent Thielman of D.A. Davidson & Company.
Brent Edward Thielman: Just a -- I guess a quick question on the semi fab market and anything that may be coming down the pipeline there? And maybe you can comment on pharma as well? There's been a number of announcements out there and how real of an opportunity that can be down the line for you?
Trent T. McKenna: Yes. Those are all very strong in pipeline right now. We've got a lot of prospects that are out there. I mean nothing that is that I'd comment on, but that's all larger stuff, and it's very lumpy, like you get it or you don't. Sometimes you get it at a small contract and then the remainder of the value of the contract is done in change orders over time. So it's one of those things it's hard to see it going through in and out of backlog, but at the same time, our pipeline is showing very strong opportunities in both pharma and fab and chip fab.
Brent Edward Thielman: Okay. And then maybe just more of a nuanced question. But when I look about revenue by activity type, existing building constructions actually been outgrowing new construction for the past 4 quarters. And I guess I think about data centers being largely greenfield. I just was curious why that is in the results?
William George: So much of our work is industrial now. And in the United States, an awful lot of industrial is adding on to existing capacity as opposed to greenfield even in the tech area. So that's been a trend actually for a long time as we become more and more industrial. Because the reality is if you're building Phase 3 of something for us, that's an existing sort of thing. Some of that's just like -- it's a little bit definitional, and it's also just the nature of the industrial world.
Brent Edward Thielman: Okay. But -- and so in that regard, the margins wouldn't really be different? I've always thought of existing as, I mean, higher margins to it. But if you're doing Phase 3 of something, it's in some way still a greenfield.
William George: It would still have a -- the big differentiator there is what percentage of the project is materials and subcontracts and that would perform more like a traditional new building if it's an extension. You know what I mean. So I guess I would agree with that. Right now, margins are so good across the board that those distinctions are a little hard to even make.
Operator: And I would now like to turn the conference back to Brian Lane for closing remarks.
Brian E. Lane: Thank you. In closing, I want to reiterate my gratitude for the amazing dedication and excellence of the teams we have across our nation, serving our customers every day. Demand is strong and our people are rising to the challenges of addressing the robust need for their unique skills. As Trent mentioned, we feel that conditions are good for us to continue to perform. And as Bill indicated, we have the resources and the commitment to lean into delivering for our employees, our customers and you, our shareholders. Thank you for your confidence, and have a great rest of the summer. Thank you.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.